Operator: Good morning, and welcome to Crown Holdings Fourth Quarter 2022 Conference Call. Your lines have been placed on a listen-only mode until the question-and-answer session. Please be advised that this conference is being recorded. I would now like to turn the call over to Mr. Kevin Clothier, Senior Vice President and Chief Financial Officer. Sir, you may begin.
Kevin Clothier: Thank you, Nicole, and good morning. With me on today’s call is Tim Donahue, President and Chief Executive Officer. If you don’t already have the earnings release, it is available on our website at crowncork.com. On this call, as in the earnings release, we will be making a number of forward-looking statements. Actual results could vary material from such statements. Additional information concerning factors that could cause actual results to vary is contained in the press release and in our SEC filings, including Form 10-K from 2021 and subsequent filings. Earnings for the quarter were $0.74 per share compared to a loss of $7.95 in the prior year quarter. Adjusted earnings per share were $1.17 compared to $1.66 in the quarter. Net sales in the quarter were down 1% from the prior year as global beverage can growth of 3% and the pass-through of higher raw material costs were offset by foreign currency and as expected, lower volumes in the Transit Packaging business. Segment income was $292 million in the quarter compared to $357 million in the prior year, primarily due to timing of costs associated with higher inventory levels, lower cost absorption from planned inventory reductions and higher energy prices in Europe. As outlined in the release, we project EBITDA to grow between 8% and 12% in 2023. The projection assumes better results in our global beverage can and Transit Packaging businesses, offset by lower results in North American tinplate business, the result of Q1 inventory gains not recurring in 2023. As stated in the earnings release, first quarter adjusted earnings per diluted share are projected to be in the range of $1 to $1.10 with the full year projected to be between $6.20 and $6.40 per share. The adjusted earnings guidance includes net interest expense of $400 million in 2023 compared to $270 million in 2022, $0.40 of incremental non-cash pension and post-retirement costs, average common shares outstanding of approximately $120 million. Exchange rates at current levels with the euro at 1.07 to the dollar and full year tax rate between 24% and 25%. Depreciation of approximately $350 million compared to $301 million in 2022. Non-controlling interest to be in the range of $140 million. Dividends to non-controlling interests are expected to be approximately $110 million. We currently estimate 2023 full year free cash flow of approximately $500 million with approximately $900 million in capital spending. We expect a net $100 million improvement in working capital, which is driven by lower inventory partially offset by continued investment to support beverage can growth. We expect the majority of free cash flow to go towards debt reduction until we get within our stated leverage range of 3 to 3.5 times. With that, I’ll turn the call over to Tim.
Tim Donahue: Thank you, Kevin, and good morning to everyone. Before reviewing our fourth quarter results, we want to briefly update you on the company’s situation in Turkey. For those of you not aware, twin earthquakes, the first registering 7.8 magnitude and the second at 7.5 struck Southern Turkey on Monday. Across the region, several thousand buildings have collapsed, resulting in significant loss of life, with brutal winter weather further complicating rescue and recovery efforts. The epicenter of the first quake was only 50 miles from our beverage can plant in Osmaniye, and we at Crown feel truly blessed that all employees are alive and accounted for. Electricity has been restored to the plant and with no damage to the physical plant structure, equipment or inventory, we have resumed shipments to those customers able to receive deliveries. The company is currently coordinating shelter for displaced employees and their families, and we have every confidence that the global Crown family will again rise up to support their fellow associates in Turkey. As reflected in last night’s earnings release, performance in the fourth quarter was a bit ahead of our previous expectations due primarily to firm global beverage can demand, cost reduction activities within transit and the weakening of the U.S. dollar. Compared to the prior year fourth quarter, lower cost absorption from planned inventory reductions, higher cost inventories related to the timing of customer sales, higher energy costs and inflation all weighed on income results. Looking ahead to 2023, we expect significant improvement in segment income as higher beverage can volumes, contractual cost recovery and benefits of cost reduction activities will more than offset the significant 2022 steel re-pricing benefits realized within our North American tinplate operations. Below the line, as Kevin described, we will face headwinds from higher interest and pension costs. As Kevin also noted, capital expenditures for 2023 are currently estimated at $900 million. And looking forward, we project $500 million of capital expenditure in 2024. The commercialization of our various beverage and food can capacity expansions are described in last night’s release. Turning to the operating segments. In Americas Beverage, unit volumes advanced 4% in the fourth quarter, with the gain found primarily in Central and South America as North American volumes were up only modestly. Volume advances were offset by lower cost absorption, the result of planned inventory reductions and the timing effect of higher cost inventories. We estimate that the North American market, that is Canada and the United States was down 8% in the fourth quarter, with much of the decline found in fewer imported cans year-over-year. While only five weeks into the new year, we remain confident in our outlook for 10% North American volume growth in 2023. Volume growth, combined with contractual inflation recovery leads us to expect income in the segment to be up significantly in 2023 with flatter performance in the first half and the gain to prior year spread over the back half. Our North American growth assumption assumes an overall flat market. Unit volumes in European Beverage increased 2% in the fourth quarter with growth noted in Greece, Jordan and Turkey. As previously discussed, the impact of higher inflation and energy costs, coupled with timing of higher cost inventories, negatively affected income in the segment. For 2023, we expect to begin to claw back margins about halfway back to 2021 levels as low to mid-single digit volume increases, coupled with the benefits of renewed contract terms and recovery of prior costs accelerate income performance beginning in the second quarter. Beverage can volumes in Asia-Pacific advanced 2% in the fourth quarter as growth in most Southeast Asian countries was partially offset by economic weakness in Cambodia. The carrying cost of higher cost inventory ahead of customer sales continue to weigh on income performance, which we expect will continue into the first quarter of 2023. However, we do expect income in the segment to advance in 2023 as comps in the back half of the year become much easier. When adjusted for currency and the divestiture of the Kiwiplan business, fourth quarter segment income in the Transit Packaging business was within $3 million of the prior year. The benefits of the previously announced overhead reduction program, coupled with positive price almost entirely offset high-single digit volume declines. Continued benefits from the overhead reduction program, combined with a more favorable steel cost price relationship is expected to drive mid to high-single digit income improvement in 2023. The North American tinplate and can-making equipment businesses closed out an exceptional performance in 2022 with another firm performance in the fourth quarter. Segment results in 2023 will be down compared to 2022 million mainly the result of inventory re-pricing benefits realized in the first two quarters of 2022, not recurring in 2023, coupled with continuing weak aerosol can demand. As Kevin described, target leverage, given the existing business portfolio remains in the range of 3 to 3.5 times, and we are committed to applying excess free cash flow towards reducing leverage to that range. Over the last two years, we have returned in excess of $1.9 billion to shareholders in the form of quarterly dividends and share buybacks. In summary, and looking ahead to 2023, we remain confident in our ability to reaccelerate EBITDA growth in 2023. Contractual terms will allow us to begin to recover significant inflationary increases, our inventory positions have largely been rightsized at year-end 2022, renewed European contracts with more appropriate terms, initiated significant overhead cost reduction activities within Transit Packaging and have or will commercialize significant new beverage and food can capacity in the United States and Europe to continue to serve our customers’ growing requirements. And just before we open the call to questions, we ask that you limit yourselves to one or two questions so that others may have the opportunity to ask their questions before we run out of time. And with that, Nicole, we are ready to open the call to questions.
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] Our first question is from the line of George Staphos of Bank of America. Your line is now open.
George Staphos: Hi everyone, good morning. Thanks for the details. My two questions, Tim, you mentioned that you remain confident in the 10% growth outlook for North America for this year, and we appreciate that. Can you remind us about what is making you most comfortable about that outlook either by end market or whatever you would be able to share and talk to how the risks may be to the upside or to the downside on that 10% relative to where you were and what you were speaking to last quarter. The second question is on cash flow. Kevin, can you talk to us about some of the other key line items we need to consider in getting to or at least evaluating your $500 million free cash flow target? Is there anything that you need to put in for pension recognizing the pension expense is non-cash, nonetheless, it does reflect balances that you need to amortize anything in there for pension funding, et cetera. Thank you, guys.
Tim Donahue: Okay. So George, on growth, I think the upside or downside to the 10% projection revolves around what the markets going to do. As we said, we are confident with the 10%, assuming a flat market in 2023. If the market is up, we’ll do a little better. If the market is down, then our customers may not pull as many cans. But the entirety of our growth centers around those customers who have continued to grow principally in the carbonated soft drink and sparkling water categories as well as some of the energy and other nutritional type drinks. That growth for us is principally centered on their growth and/or Crown gaining a greater percentage of that customer’s volume from where we stood last year. Kevin provided a sea of numbers already. I’m not sure how you digested all that already. But to the extent he can give you any more numbers. Go ahead, Kevin.
Kevin Clothier: Okay. Hey George, in terms of pension, we don’t expect a material difference from where we were this year. Remember, this year included some recovery from the UK pension plan that we had. So if you exclude the UK pension plan, it should be in line not much different from there. In terms of the other line items, if you think about there’s a fair amount of taxes paid that we have anywhere between call it $250 million and $280 million depending on how much income we make. We’ll have to pay in taxes, and interest paid is obviously up as a result of the P&L being up but...
Tim Donahue: And some – just some modest severance related to the overhead reduction.
Kevin Clothier: Yes. So I mean that’s generally the thesis, George.
George Staphos: And working cap, you said, would be $100 million source to you this year?
Kevin Clothier: Yes.
George Staphos: Okay. Thanks. I’ll turn over.
Tim Donahue: Thanks, George.
Operator: Thank you. Next question is from the line of Mike Leithead of Barclays. Your line is now open.
Mike Leithead: Great. Thanks. Good morning, guys. And maybe it’s appropriate to throw in a quick go birds [ph]. First, on the leverage side, you talked about recommitting to the 3 to 3.5 times. I guess when do you expect to kind of get there this year? And I guess given the interest rate and just kind of the macro backdrop, does that change at all how you think about the leverage? Do you want to get closer to the bottom end before you reaccelerate repurchases? Just kind of flesh out how you’re thinking about that.
Tim Donahue: Yes, really a thoughtful question. Thank you. So we – I think if you take the mid-point of the EBITDA range we provided you, if you take the $500 million of cash flow that we’re going to generate, less the dividends we pay to the common shareholder and the dividends to the minority partner I think if you flush all that, you probably get yourself down to around 3.2, 3.25, something like that by the end of the year. Just given the seasonality of the business and our borrowing requirements on a seasonal basis, I would expect that much of the decline into the range as it does for many packaging companies whose principal businesses in the Northern Hemisphere. We won’t feel comfortable that we’re within that range until the year – until we get into the – late into the fourth quarter as we collect receivables and the business winds down before the build of business into the next year. I don’t – you can do the math there. I think it’s pretty close to what I’ve said. I think the real thoughtful part of your question is what is the appropriate level of leverage within that range, just given the current global economic environment we’re in, the central banks around the world, what their motives are to curb inflation, and just the cost of the debt and the relative dilution, let’s just call it, relative dilution that comes from higher cost debt then the free money we all experienced for the last several years. So I think to your question, I think 3 to 3.5 is a fairly large range and 0.5 a turn in absolute terms is worth $1 billion of debt. So as you think about refinancing and refinancing at advantageous rates, obviously, the less absolute amount of debt you have to refinance, theoretically, the better absolute rates you can get for a long-term period of time. So I would say, in this environment, you feel more comfortable in the 3 to 3.25 times range as opposed to the range as wide as 3 to 3.5, but we give you a range because it’s all subject to review as facts and circumstances change over time.
Mike Leithead: Great. Appreciate that answer. And then second, real quickly for Kevin, I apologize if I missed this at all the numbers you threw out there. But can you quantify how big the headwind is for steel in the first quarter? And then secondly, real briefly on pension, is that just spread out through the year? Or is it lumpy in a quarter? Or how should we think about that?
Tim Donahue: I’ll take it, Mike. So the pension will be equally spread through the year. So that incremental $0.40, you can think about an incremental $0.10 per quarter. On the steel re-pricing headwind, I think last year, in the first – principally in the first quarter, a little bit into the second quarter, we had $35 million to $40 million of gain. The year-over-year impact, 2023 versus 2022 is a little more than that because you’ve got to decline – a low-double digit decline in steel prices this year. So if you had $35 million to $40 million gain last year and you’ve got $15 million to $20 million loss this year, the year-over-year impact in the first – principally in the first quarter, a little into the second quarter, totaling somewhere between $50 million and $60 million headwind.
Mike Leithead: Great. Thank you.
Tim Donahue: Thank you.
Operator: Thank you. Next question is from the line of Ghansham Panjabi of Baird. Your line is now open.
Ghansham Panjabi: Thank you. Hey guys, good morning. On your comments on inventory level adjustments, did that fully play out in the fourth quarter? Or is there any sort of spillover into the first quarter as well?
Tim Donahue: No. So Ghansham, what I said, we’re largely rightsized. We still have a little bit in Mexico, and we have a chunk in Asia, which is probably going to – first quarter in Asia is going to cost us a handful or a touch more in terms of income until we flush it through.
Ghansham Panjabi: Okay. Got you. And then in terms of the EBITDA guidance, I mean, 8% to 12%. Can you just give us more numbers in terms of – I mean there’s so much going on with the contractual recovery, cost savings, et cetera. Can you just give us the dollar amounts associated with that in terms of what you’re embedding for 2023 EBITDA guidance?
Tim Donahue: Yes. So I kind of want to stay away from too much, but I think if you think about – as we sit here today, we take care of the easy ones. You’ve got FX is flat. We’re talking about EBITDA, so we don’t have to talk about depreciation increases. I think between volume and price, you’re well over $200 million, you’ve got some cost reduction principally in transit, but also in Europe and Asia, probably in the 25% to 30% range than a little bit more than that, adding for the overhead reduction in transit we’ll have higher benefit – higher bonus accrual. We hit these numbers. The folks might get a bonus in 2023 as opposed to getting very little in 2022. Not sure I really want to give any more than that on a public call, Ghansham, but that’s – think about price cost and volume being in the range of $200 million to $250 million cost reductions and overhead restructuring benefits being in the range of 50. And then I guess the only thing I’d say that $200 million to $250 million inclusive within there is the $50 million to $60 million headwind I described for you for tinplate. So some pretty big numbers year-on-year.
Ghansham Panjabi: That’s perfect. Thank you so much.
Tim Donahue: Thank you.
Operator: Thank you. Next question is from the line of Angel Castillo of Morgan Stanley. Your line is now open.
Angel Castillo: Hi, thanks for taking my question. I was wondering, you talked a little bit about your kind of 1Q expectations. I was hoping you could give us a little bit more color as to what’s embedded by region in your assumptions for volume as well as kind of EBITDA and on what that bridge looks like.
Tim Donahue: Yes. I mean what we gave you – again, Angel, we gave you so many numbers. I’m not sure I can give you any more. But we look at I think the big headwind in the first quarter is the steel re-pricing benefits we had last year and the steel cost this year, summing to $50 million to $60 million, I would say, for the most part. When you get through that $50 million to $60 million and some higher start-up costs in the first quarter because we’ve got a number of lines coming up in the first quarter that pretty much everything else is flat in the first quarter. But you’ve got the earnings estimate, and you can work through the earnings estimate, you can probably come up with a – you got $50 million to $60 million headwind on steel and everything else, you’d probably get yourself a total of $75 million EBIT headwind in the first quarter, principally centered around, as I said, the steel and the start-up costs. And then we start to return to better earnings and better acceleration in the second quarter. But I would say that on the Americas Beverage business, first and second quarter in total, largely flat to the prior year. European Beverage will be down in the first quarter, will be up in the second quarter. Asia will be down in the second quarter – down in the first and second quarter, start to return to growth in the third and fourth quarters. I think we expect Transit Packaging to be up in every quarter. And obviously, the tinplate business is down significantly in the first quarter, as we described, down a little bit in the second and then up in the third and fourth quarter so.
Angel Castillo: And just to clarify, that was kind of from an EBITDA perspective, right? So from a volume standpoint...
Tim Donahue: That’s a segment income perspective so...
Angel Castillo: Segment income, yes. So what about from a volume perspective kind of embedded in that by region?
Tim Donahue: Listen, the Americas Beverage business is going to be up in every quarter. And mainly as a result of the North American volume increase, while we also expect some increase in Mexico and Brazil, we had a pretty good performance in Brazil in the fourth quarter. I think Brazil perhaps off to a little slow start here in January, but we expect Brazil to do better this year than we did last year. European Beverage will be down in the first quarter as we start to bring on capacity in Italy, Spain and even the UK as the year progresses, we’ll begin to accelerate volume performance in Europe. Asia, I think, Southeast Asia and China has reopened. Southeast Asia doing well with the exception of Cambodia right now. Q1, down, and then I think we start to see volume start to accelerate Q2, Q3 as the year goes on. And I think from the standpoint of Signode, compared to the prior year volumes down in the first and second quarter, easier comps in the third and fourth quarter. And then I think in North American tinplate, we expect food volumes to be up each quarter and aerosol can volumes to be down each quarter.
Angel Castillo: That’s very helpful. Thank you. And you talked about your inventories maybe a little bit more rightsized with some nuances across some regions. Could you give us a little bit more color on what you’re seeing across your customers, kind of the supply chain distributors, retailers, what are you kind of hearing from customers in terms of their inventories and the overall kind of levels of destocking that you kind of anticipate here as we think about the beginning of 2023.
Tim Donahue: The beverage world, the customers don’t carry a lot of inventory, right? It’s – we deliver just in time. They fill and they ship. And I don’t think at the end of the year or even as we sit here today, there’s any significant – especially the large CSD water and beer companies, I don’t think there’s any real large backlog of inventories in their possession. And the retailers only have so much space to store. So I think the channels are set up for a pretty good year this year. The cost of aluminum is down significantly over – from the first quarter last year until now on the order of $1,000 to $1,500 a tonne. So the hope is – and we’ve seen some green shoots of promotions, buy two get two, buy two get one. So the hope is that we see some more promotional activity, and we do even better than we’ve outlined for you.
Angel Castillo: Very helpful. Thank you.
Tim Donahue: Thank you.
Operator: Thank you. Next question is from the line of Arun Viswanathan of RBC Capital Markets. Your line is now open.
Arun Viswanathan: Great. Thanks for taking my questions. When you look at North America, you guys have been talking about 10% volume growth for a little while. Have you seen any kind of downside to that? We have seen it in some categories. There was some greater destocking in September and December. Maybe you can just give us an update on what you’re hearing from your customers as far as – and again, what gives you that confidence in that 10%. And then could you also provide us with like maybe a 2024 outlook on new capacity, what that – you provide? Thank you.
Tim Donahue: Well, so I think the third quarter and as you rightly point out, the month of September was really disappointing. The fourth quarter as we talk about North America, we were on track to have a pretty good volume performance in the fourth quarter and then the last week of the year, the holiday week, things basically shut down. Now having said that, and only five weeks into the year, things are really off to a strong start. So – but as I said, we’re only five weeks in, so don’t you read too much into that, but all signs point to – and what we’re hearing from the customers, all signs point that we should have a pretty firm performance this year. And as I said, our confidence with our number considering the backdrop of a flat market is entirely centered on carbonated soft drink and sparkling water, some energy guys where they have penetrated more retail outlets and they’re growing and/or we’ve gained a greater share of that customer as compared to where we were last year. I think we said in the prepared remarks that CapEx looking at $500 million next year. We obviously have a fair amount of capacity coming online in North America and Europe this year. And so we will have increasing capacity next year to absorb further growth as those lines come through learning curve and produce more cans.
Arun Viswanathan: Tim, and then on Europe, there’s a segment income recovery effort, I guess, underway. Maybe you can just give us an update on how you’re thinking about how that segment evolves and maybe get back to 2019 levels or 2018 levels in 2024? Or how are you thinking about segmenting from there? Thanks.
Tim Donahue: Okay. I’m sorry. Again, in the prepared remarks, we expressed our belief that with some modest volume growth this year and the renegotiation of numerous contracts where we more appropriately reset base pricing plus pass-throughs for inflationary items and recovered some past inflation that we expect the 2023 segment income to be halfway back to 2021. That is, if you took 2021 and 2022, we should be somewhere in between.
Arun Viswanathan: Thanks.
Tim Donahue: Thank you.
Operator: Next question is from the line of Christopher Parkinson of Mizuho. Your line is now open.
Unidentified Analyst: Hi, this is John on for Chris. Can you please break out the various substrates that led to some weakness in the fourth quarter? And then what specific substrates give you optimism in 2023? Thank you.
Tim Donahue: I’m assuming you’re specifically talking about beverage and North American beverage, am I correct?
Unidentified Analyst: Yes, that is correct.
Tim Donahue: Yes. So listen, we were up – in North – in the Americas, we were up 4%, which was double-digit growth in Central and South America and a little bit less than 0.5% in North America. We had previously thought we might be up 2% to 3% in North America. As I said, we were tracking for that, and basically, across all product lines or all end markets that we support in our North American beverage business, shipments – I don’t want to say they shut down the last week of the year. But certainly, the holiday week between Christmas and New Year’s shipments were very light. The pull from customers was very light, but that was across the board. I wouldn’t necessarily ascribe it to any one end market versus another.
Unidentified Analyst: Thank you very much. I’ll turn it over.
Tim Donahue: Thank you.
Operator: Thank you. Next question is from Adam Josephson of KeyBanc. Your line is now open.
Adam Josephson: Tim, Kevin, good morning. Thanks very much for taking my question.
Tim Donahue: Good morning.
Adam Josephson: Tim, one on Brazil. My understanding is last year, cans lost some share to returnable bottles for economic reasons. The Brazilian economy had a rough go of it and there was some trading down going on. You mentioned the year is off to a bit of a slow start there, but you’re expecting a recovery thereafter. Can you just talk about how you’re expecting cans to do relative to returnable bottles as distinct from last year? Are you expecting the economy to get better? What exactly are you expecting regarding Brazil this year?
Tim Donahue: Yes. So we were – I mean, I’ll give you – if you want the exact number for Brazil, I’ll give it to you. I don’t know what you guys do with all this data, but I think we were up 13% or 14% in the fourth quarter in Brazil. So tremendous performance in the fourth quarter. The first quarter of last year was really weak. So even though we’re off to a slower start here in the first quarter, we’re fairly confident in Brazil having a good performance this year. I think our – I think if I was to go back or you were to go back and look at last year’s transcript, we probably see that we in the market. I think we were down about 20%. The market was down about 25% in the first quarter of last year. Having said that, the performance over the last three quarters last year, I think we ended up down 1.5% for the full year. So we almost clawed back the entire first quarter shortfall. I think we’re where we’re at. I think most fillers and most consumers in a market like Brazil prefer the aluminum beverage can over glass, okay? The glass guys might want to tell you otherwise, but I think history over the last 10, 15, 20 years, will tell you otherwise. And so we’re pretty confident that the flexibility of cans to produce numerous sizes with numerous decorations to promote the product on the shelf is far superior than the bottle. And I think, as we’ve said before, you can get all hung up looking at six months, one year performance in Brazil I think if you look at a period of time, three to five years, and I don’t care when you want to start that period of time and when you want to end it, you take three and five-year chunks of time. You’re going to see can penetration rates higher and you’re going to see absolute level of can volumes higher, and we continue to believe the Brazilian market is going to be a tremendous market for the aluminum beverage can.
Adam Josephson: Got it. Thank you. And back to North America. So I think some of the energy drink customers, the beer companies were still implementing price increases late last year and even into early this year. Embedded in your expectation of a flat market, are you expecting much of a return to promotional activity in the summertime, are you not? What exactly are you expecting in terms of price increases, promotions, neither? I’m just trying to understand how you think the market might evolve this year as distinct from whatever? I know you said you think the market was down 8% in the fourth quarter. I don’t know if you said what you think it did for the full year. But how are you thinking this year will be different from last year?
Tim Donahue: So I think CMI hasn’t published the data anymore. But if I had to Tom Fischer and I were looking at this the other day, if we had to try to give you a view as to the full year, I’d tell you that perhaps the market was down in the order of 6%, 5%, 6%. And I think it all related to fewer imported cans. I think domestically produced cans were probably up 1% and imported cans down 6% or 7%, leading to an overall 5% or 6% decline. Do you agree with that, Tom?
Tom Fischer: Yes.
Tim Donahue: Yes. So as I said earlier, we’ve started to see some evidence of promotions. And so Adam, I now live in Florida, we got the office down in Florida. So I’ve seen some promotional activity in the Tampa area, but I’m not all over the country, but we have started to see two for twos or buy two get two, buy two get one. We’re starting to see more activity in the carbonated space. And on the sparkling water side, they never really took their prices up as high as the CSD guys, but they are beginning to promote a bit more as well. And – but I think that we’re – it’s kind of like when you give benefits to people, you never take them back. When you put inflation into the system, it never goes back. So while the rate of inflation is slowing, there’s still inflation on a higher base. So the consumers are faced with higher and higher cost, even though the rate of that inflation year-over-year is slower. I think only people in Washington and Wall Street can try to tell us inflation is better right now. You cannot tell that to the people in Iowa and Ohio and Oklahoma, the people that are out there working every day, trying to make a living. So for most of us on the call today, we can absorb this. For many people around the country, this is a week-to-week situation, and things are more expensive. Now having said that, drinking canned beverages is a small pleasure and people like to give themselves the enjoyment of small pleasures. And I think we will see some moderation in the rate of increase in the cost of canned beverages. And I think we’ll see some promotions. And I think the – our estimate of an overall flat market is – our current estimate or our current belief that the higher base level of cost that people are feeling at some level is offset by promotional activity at another level. And so that may be that those people at the lower end of the economic spectrum are buying less, but the people in the middle and the higher end are buying more as promotions come in. It doesn’t have to be equally across the board for all folks depending on their economic situation.
Adam Josephson: Thanks a lot, Tim.
Tim Donahue: Thank you, Adam.
Operator: Thank you. Next question is from the line of Kyle White of Deutsche Bank. Your line is now open.
Kyle White: Hey, good morning. Thanks for taking the question. The contractual recovery and inflation within the beverage business, do those benefits principally begin in 1Q or is a major reset period for you later in April? Just how should we think about the timing of those benefits?
Tim Donahue: Depending on customer and depending on contract and when the contract was renegotiated, it could be January 1, April 1 or July 1, but the large majority, especially in North America – in North American beverage centered around April 1 on the food can side in North America, more centered on January 1. So thinking about food cans, while there is a significant or a low double-digit decline in tinplate pricing, the price of cans to our customers is almost the same because we’re passing through the PPI to them on January 1. So there is no increase to them. The steel price decline offsets the PPI that they’re getting.
Kyle White: Got it. Yes, that makes sense. And then it’s been a couple of years since you did the Board-led capital allocation and portfolio review. What’s your view of the portfolio now you like the diversification with transit and food and beverage end markets? Or do you see more shareholder value being created by being a pure-play beverage can company?
Tim Donahue: Yes. I knew this question was coming.
Kyle White: I had to get it in.
Tim Donahue: Let’s – no, I know you do. Thank you for the question. Let’s be real clear. I think – after today, there are two beverage can companies that have reported. You’re going to see a report from another beverage can company over the next couple of weeks and the other private – European private beverage can company that has entered the United States. You probably saw their recent rating agencies reports. I think the beverage can world, if we’re all being very honest, we all understand it’s an expensive business, but it’s a business with exceptional upside, and we’re prepared to invest the money in the business. But the cash flow performance of all the beverage can businesses in 2022, not very positive. I think you’re going to see cash flow performance in other packaging businesses, be they food or industrial or a combination of both, where they’ve got positive cash flow in 2022. And we happen to be pretty close to breakeven on free cash flow, which what I’m trying to explain to you is the combination of our food and industrial packaging business is generating significant cash flow, offsetting the continued investment in the beverage can business. Now we do believe beverage cans will generate significant cash flow in the future, but you need cash flow to pay your bills. And it’s a fantasy to think that cash flow is not important as some investors like to tell us from time to time. And so I think we like the diversification of cash flows. We like cash. With cash, we can pay dividends. With cash, we can buy back stock. With cash, we can make more investments in beverage. However, having stated that, we are all about trying to increase shareholder value. I’m a shareholder, just like many of you on the call. I own a lot of shares. I’m all about trying to make more shareholder value. But I’m also all about making cash flow so we can accomplish all the things we need to accomplish to satisfy the wide variety of investors that we have and the reasons why they invest in a company like Crown. So listen, we’ve got a couple of new board members. We welcome their input. We think our interests are exactly aligned with their interest. That is to drive further shareholder value by the company for the benefit of shareholders, and we’ll see where that takes us.
Kyle White: Thanks, Tim. Appreciate the response.
Tim Donahue: Thank you.
Operator: Thank you. Next question is from the line of Phil Ng of Jefferies. Your line is now open.
Phil Ng: Well, Tim, you stole my thunder. I was going to ask you about free cash flow. But it’s good to see free cash flow is going to certainly accelerate going to 2024. You’ve talked about a CapEx number close to $500 million, which is pretty on par of D&A. Is that a level of CapEx that you think is sustainable for, call it, the next few years starting 2024? And with all that cash, what are you going to do with that cash flow?
Tim Donahue: So Phil, let’s assume – and it’s a little hard, but let’s just go back to – this question has been asked a number of times over the last several years. And my standard responses, let’s hope we get the opportunity to spend more capital. That means there is more growth. We’ll – we had an acceleration – let’s just deal with the North American beverage can market. We had an acceleration of can volumes from about $90 billion to $115 billion to $120 billion from 2019 to 2022, which required an immense amount of capital by the can makers to meet the customer requirements and the consumer demand. I’m hopeful we’ll have that period of time occur again in the near future. And if so, we are prepared to invest ever increasing amounts of capital to meet that customer demand depending upon the economics of contracts we can enter into to get proper returns on those investments. Short of that, if from time to time, there are lower growth expectations or lower conversions from one substrate to another, we are prepared to reduce capital to appropriate maintenance levels and incremental volume growth in a region like Southeast Asia, for example, where I think we’re going to continue to have volume growth opportunities. But – so that’s the answer around capital. It could be – I think as we sit here today, we’re looking at $500 million for 2024 and $500 million for 2025. It’s hard to think that we’re going to need to go significantly above $1 billion over that two-year period. And then we’ll see where post-2025 takes us. So that leads to your second part of your question, what am I going to do about cash flow. We’re going to get debt down to where we think it’s appropriate, given borrowing rates. And we’ll continue to assess the level of the dividend. And then obviously, once you’re through that, the excess cash flow, the best way we found to deploy the excess cash flow is to reduce the share flow.
Phil Ng: That’s super helpful. On Europe, can you remind us how you’re set up now? I mean you guys have done a lot of good work contractually renegotiating on this. I just want a better understanding how you derisk as it relates to energy. Have you kind of restructure it where it’s more of a pass-through? And when we think about lower energy prices this year in Europe, is that a good guide going forward? And just lastly, you’ve clawed back half of the shortfall. When do you expect to kind of fully recoup that? Is that a 2024 event or is that going to take a little more time?
Kevin Clothier: Hey, Phil. So in terms of your last question, in Europe, we expect to get back to the 2021 level by the end of 2024. Largely, this is rightsizing the contracts that required energy recovery within the contracts. The lower prices that we’re seeing now in energy, Phil, we’ve gone out and we’ve hedged a fair amount of the energy exposure that we had this year to eliminate any volatility. So embedded in the numbers that we’ve given you takes that into consideration. So if you think about the lower energy prices potential upside, probably maybe on a minor level, but if you think about it, by the time we get into 2024, we’re rightsizing the rest of the contract, so we could get that as a pass-through. So if it stayed at a lower level, that would pass through to the customers, but allow us to get back to our income level that we like.
Phil Ng: Okay. Really great color guys. Appreciate it.
Kevin Clothier: Yes, thank you.
Tim Donahue: Thanks, Phil.
Operator: Thank you. Next question is from the line of Adam Samuelson of Goldman Sachs. Your line is now open.
Adam Samuelson: Yes, thank you. Good morning, everyone.
Tim Donahue: Good morning.
Adam Samuelson: I wanted to ask on transit. And if you could just help us think about some of the profit outlook and some of the key kind of year-on-year drivers for 2023, especially in the context of a weaker kind of macro, kind of where the book-to-bill sits entering the year, kind of the magnitude and cadence of some of the restructuring savings and how those would layer in?
Tim Donahue: Yes, sure. So I think as we described earlier, from a volume perspective, we’ll expect volumes to be down in the first half of the year, and we expect volumes to recover in the second half of the year. Largely, the comps actually become easier in the third and fourth quarter from a volume perspective. I think we’re doing a real good job in the businesses to holding price or put a different way, recovering our costs. Significant overhead reduction program that we announced and implemented in the second quarter last year, where we’re looking to take out in excess of 600 heads, these are heads above the factory floor. And I think through the end of December, we’re at least two-thirds of the way through that process. We recognized a fair amount of value last year and that in the fourth quarter, and we’re going to continue to accelerate the savings each month. If you thought about it, it’s $2 million to $3 million a month of overhead savings at least you’re going to have. So the backlog principally in our automation business, that is equipment and tools, but automated packaging technologies continues in about the $280 million range. So it’s on the order of a full year’s worth of equipment that we sell is the backlog. And from time to time, we still struggle with supply chain for motors and circuit boards and things like that. But the situation is beginning to ease, and as we get more supply from those – the guys who supply those integrated parts, we can finish assembly and ship products. So actually, as we sit here today, the outlook for that business is quite strong this year despite – from an income perspective, despite what you might think about a softening industrial economy, we think that the need for back-end automation lowering cost with automation, we think we’re really well positioned in that business to benefit from.
Adam Samuelson: And I guess along on just on – I mean, is there an actual expectation of the volumes recovering? Or is it purely easy comps that frame the kind of current outlook?
Tim Donahue: No, I think – we think that as we get towards the fourth quarter, not only the easier comps from the third and fourth quarter, but we start to see volumes start to reaccelerate in the fourth quarter.
Adam Samuelson: Okay. That’s all – that’s really helpful. I’ll pass it on. Thank you.
Tim Donahue: Thank you.
Operator: Thank you. Next question is from the line of Mike Roxland of Truist Securities. Your line is now open.
Mike Roxland: Thank you, Tim, Kevin and Tom for taking my questions. Tim, I wonder if you could just talk about the cadence of volume growth you expect in North America in 2023. Obviously, you’re confident in terms of achieving a 10% volume growth. But I just want to get a sense of the case, particularly with your new capacity things still beginning.
Tim Donahue: No, that’s a good question. I’m hesitant to say anything, but you guys scratch the surface. You guys scratch everything. So – but as we said, we’re five weeks in and things are really good. If I had to take a look at the month of January, we’re up somewhere between 5% and 10%, and we’re going to bring a lot more capacity on beginning this month with the second line in Martinsville, and Bowling Green is back up and running full steam ahead as compared to last year at this time when it was down from the tornado, and we bring Mesquite up beginning in the middle of the year. So you should expect volume growth to accelerate second, third quarter. But I’m not – what we’re trying to tell you is that we have volume growth right now as well. We’re not waiting for all that capacity to come up, things are pretty good right now.
Mike Roxland: Got it and thank you for that. And then just one quick follow-up. Can you talk about what has changed internally regarding how you vet your customers’ growth forecast and their demand for cans? Now I realize you’re close to your customers, but I’m just trying to get a sense of what’s changed with your interactions with your customers, the diligence that gives you more – and diligence. What gives you more confidence regarding their forecast now relative to the way that you do things historically?
Tim Donahue: So I think – I want to – what I will say is we had a little blip perhaps in our understanding of the market last year as we headed into the summer months and into the third quarter. I will tell you that – the disappointing thing for Kevin and myself is that we had that blip because we’re not a fly at 30,000-feet operation. We’re – Kevin and I are and everybody shorts every day. Somebody wants to ask me what I do as a CEO, and I told him my chase people all day long. And so I think part of the problem with the success that we had in the North American beverage business over the last several years, we kind of took it for granted that the customers’ forecast were accurate. And perhaps at some level, we didn’t realize the customers were concerned with supply chain, and they were overestimating. So we’re back to square one, chasing people all day long and doubting people. And that doesn’t mean doubting our customers, that means staying on top of our team internally to make sure we don’t have that happen again so…
Mike Roxland: Understood. Good luck in the quarter and year.
Tim Donahue: Thank you.
Kevin Clothier: Thank you.
Operator: Thank you. Next question is from the line of Gabe Hajde of Wells Fargo. Your line is now open.
Gabe Hajde: Tim, Kevin, Tom, good morning.
Tim Donahue: Good morning, Gabe.
Gabe Hajde: I had a question about, I guess, utilization or capacity and just – I know you won’t speak to what you guys are running at. But just from an industry standpoint, it looks like we’re sort of in the maybe the high 80s exiting 2022. And I think, obviously, you guys had renewed a lot of contracts domestically the industry has. So do you feel like you’re – and the industry is in a comfortable spot from a contract perspective maybe until the middle of the decade? Historically speaking, high 80s, low 90s wasn’t a great spot for the beverage can industry and perhaps things have changed to the extent that there are more sizes – size requirements and maybe label changeovers and things like that? Just how you’re thinking about optimal utilization rates for the industry.
Tim Donahue: Yes. So you bring up a good point, different sizes – change over to different sizes and the complication sometimes it’s running different sizes will reduce capacity from manufacturers rated speeds to what is actually achievable when you bring down a size and you bring back up another size. I think that you’re right to point out, we would prefer utilization to be in the 92% to 95% range. I would say that we’re at least at that level. I can’t comment on the other manufacturers in the marketplace. But I will say that much of the decline that we had last year will – more than all of the decline was related to imported cans. So the domestic produced cans were actually up last year. So I don’t know if the industry is as low as you think it is right now. And I think there’s – there’s been some capacity realignment or the announcement of some capacity realignment by one or two of the other manufacturers. So I think we’re not in as bad a shape as in the industry as you think we are. But we’d rather be 92% to 95%, as you point out. And now the contracts, a lot of – again, I can’t comment on the competition, but so many of the contracts are out several years. We’re not in the near-term too concerned with where the market is today. We’d be more concerned with where the market is a few years from now.
Gabe Hajde: Okay. Thank you, Tim. And I kind of segue to the next question. A lot of those imported cans, some of them, a decent chunk, maybe a third were coming from the Middle East. And so the logical part of me says to the extent they were able to find their way into North America, they could certainly maybe find their way into Europe. I think you guys are talking about low to mid-single-digit growth. What we heard from our competitor was mid to high single-digit growth. Still a decent amount of capacity coming there. Is that a concern or something that you guys are chasing people down for as you look at the European market? And then I think we did see an announcement of a second, I guess, Chinese-sponsored plant over in Europe. Any thoughts on that? Thank you.
Tim Donahue: Well, any time you export cans or customers or companies want to import cans, there’s a significant freight component to that. They are not competitive to locally produced cans. So somebody has to absorb freight cost, whether that’s the customer and/or the company that’s – the can company that’s importing to support their business. So we’re not overly concerned with cans being imported in from the Middle East into Europe or the United States, unless customers want to pay that incremental freight costs. And I don’t think they want to do that. The European market, listen, it continues to grow. We don’t happen to be where the Chinese – the new Chinese – rumored Chinese plant is going. We don’t happen to be very large in that region. It is for a specific customer. And in the near-term, we don’t see that impacting us. Again, I can’t comment on how it may impact others, but we don’t see that impacting us.
Gabe Hajde: Appreciate the response, Tim.
Tim Donahue: Thank you.
Operator: Thank you. Our last question is from the line of Anthony Pettinari of Citi. Your line is now open.
Anthony Pettinari: Good morning. I just had a question on specialty cans. I think at the Investor Day, you had guided to a 25% specialty can mix in North America by the end of 2022. So I’m just wondering where you stand there now and where you think that could go once the announced capacity adds are completed? And maybe just broadly, if you’ve seen any sort of change in competitive intensity specifically for specialty sizes?
Tim Donahue: Yes. So I think I don’t know if we’re at 25% or we’re at 23.5% or 24%, but we’re in that range. And I think the market will continue to demand more specialty cans as opposed to the standard 12-ounce can, whether that’s 16-ounce cans or smaller portion sizes or slim 12-ounce cans versus the standard 12-ounce can. And all of the capacity we’re putting in has multiple – or multi-sized capability, be it taller cans, shorter cans, fatter cans, skinnier cans. So as the market demands or requires different sizes, we’re well positioned to support our customers with those sizes. I would point out that – and again, I always hope that somebody is looking at this. And while our specialty can mix might be slightly below some others in the marketplace, I don’t think our margin profile is lower than theirs. So I think we do a pretty good job managing the business, the portfolio of customer business we have and running our industrial infrastructure to maximize income regardless of the size of the cans we’re making.
Anthony Pettinari: Great. Great. I appreciate that, and that’s very helpful. Just one – maybe one quick one last one. Kevin, is there like a rule of thumb on EPS sensitivity changes in the euro and maybe interest rates?
Kevin Clothier: On the euro, a 0.1 move typically is a point – is a $0.02 change in EPS. On interest rate sensitivity, I don’t have that in front of me.
Anthony Pettinari: I’ll circle back on that. Yes.
Tim Donahue: Why don’t we reflect on that, and we’ll try to give you a better feel for that in April. It’s kind of – you can go through the 10-K and look at our data as to whether it’s fixed or floating and you can apply rates to that. But as Kevin said, I don’t think we have that with us right now so – okay.
Anthony Pettinari: Thanks. I’ll turn it over.
Tim Donahue: You’re welcome. Okay. So Nicole, I think you said that was the last question. I want to thank everybody for joining us, that will – and conclude the call today, and we’ll speak with you again in April. Bye now.
Kevin Clothier: Thank you.
Operator: Thank you. That concludes today’s conference. Thank you for participating. You may now disconnect.